Operator: Ladies and gentlemen, thank you for standing by. Welcome to the Liberty Media Corporation 2019 Q4 Earnings Call. During the presentation, all participants will be in a listen-only mode. Afterwards, we will conduct a question-and-answer session. [Operator Instructions] As a reminder, this conference is being recorded February 26. I would now like to turn the conference over to Courtnee Chun, Chief Portfolio Officer and Senior Vice President of Investor Relations. Please go ahead.
Courtnee Chun: Thank you. Before we begin, we'd like to remind everyone that this call includes certain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Actual events or results could differ materially due to a number of risks and uncertainties, including those mentioned in our most recent Form 10-K filed with the SEC. These forward-looking statements speak only as of the date of this call and Liberty Media and Liberty TripAdvisor expressly disclaim any obligation or undertaking to disseminate any updates or revisions to any forward-looking statement contained herein to reflect any change in Liberty Media or Liberty TripAdvisor's expectations with regard thereto or any change in events, conditions or circumstances on which any such statement is based. On today's call, we will discuss certain non-GAAP financial measures, including adjusted OIBDA and adjusted EBITDA. The required definitions and reconciliations for Liberty Media and SiriusXM, Schedules 1 and 2, can be found at the end of the earnings press release issued today, which is available on our website. Now I'd like to turn the call over to Liberty's President and CEO, Greg Maffei.
Greg Maffei: Thank you, Courtnee, and welcome to all of you on the call. Today speaking, besides myself, we'll have Formula One's Chairman and CEO, Chase Carey; and Liberty's Chief Accounting Officer and Principal Financial Officer, Brian Wendling. During the Q&A, we will also be available to answer questions related to Liberty TripAdvisor. So beginning with Liberty SiriusXM, we continued our repurchases of the stock and bought an additional $55 million from the period of November 1 to January 31, including buying both LSXMA and LSXMK shares. I would note, this is the first time we bought the A shares in addition to Ks, and we just look out in the marketplace at what is a more attractive value in determining our repurchases. If you look through to the underlying SiriusXM shares, our look through price was $5.11 over this period, a price we find pretty attractive for the underlying Sirius stock. As I’ve said before and will continue to say, we continue to take advantage of the discount to NAV. And as of January 31, our ownership in SiriusXM was 71.6%. Looking at the underlying SiriusXM itself, they had a strong finish to the year with record high financial performance at both SiriusXM and Pandora. This was the 10th consecutive year of 1 million-plus self-pay net adds. SiriusXM returned about $2.4 billion of capital during the year, and they continue to focus on innovation. First, with 360L, its next-gen platform, which will be distributed across six OEMs and 13 of their underlying brands, we anticipate 2 million vehicles will be in operation by the end of 2020. And innovation on the content front, where they quadrupled the number of podcasts available in the platform last year with solid growth in monthly listening. They had very creative programming agreements with Drake, Marvel, LeBron, UNINTERRUPTED and U2. We are pleased with the integration of Pandora. To remind you, the deal closed just over a year ago, especially the combination of our local team and our ad tech resources. 75% of SiriusXM development resources are now being spent in ways that benefit both of the brands or services. And Pandora is a positive contribution to EBITDA today. Turning to the Formula One Group, we had strong financial results, and you'll hear more about that from Chase in a moment, and leverage is already down to 5.1 times. As we discussed at our investor meeting in November, we've begun repurchasing Liberty SiriusXM stock, F1, to hedge ourselves against some of the underlying exposures we have with our convert. And for the period of November 1 to January 31, we bought back $52 million. We very much look forward to the start of the Formula One season, March 15 in Melbourne. Live Nation is not yet reported, so I'm going to defer commentary on that. And looking at the Braves, very solid revenue growth. Third consecutive year of attendance at Truist Park, our newest name for the ballpark. We opened the new Braves Academy adjacent to our spring training ballpark, just south of Sarasota in Florida, and we held the first game last Saturday. It was preseason or spring training game where King Felix had a strong average. We have filled out our 40-man roster. We've extended contracts with Alex Anthopoulos, Brian Snitker and Snitker's coaching staff, and we are excited for our on field prospects in 2020. I'd also note, we've seen a very good advance on sales of tickets. Turning over to Liberty TripAdvisor, Trip had a difficult year, but we believe it's focused on the right areas, continues to drive revenue growth outside of the hotel auction in the faster-growing areas of experiences and restaurants. They've adjusted their cost structure to support strong adjusted EBITDA and free cash flow growth in 2020, and they returned $540 million of capital to shareholders in 2019. With that, I'll turn it over to Brian for more on our financial results.
Brian Wendling: Thanks, Greg, and good morning, everyone. At year-end, Liberty SiriusXM Group had attributed cash and liquid investments of $387 million, excluding $120 million of cash and restricted cash held at SiriusXM. The value of the SiriusXM common stock held at Liberty SiriusXM as of yesterday close was $22 billion, and we have approximately $1.4 billion in debt against these holdings. Total Liberty SiriusXM Group attributed principal amount of debt was $9.3 billion, which includes $7.9 billion of debt that's held directly at the SiriusXM level. Formula One Group had attributed cash and liquid investments of $185 million, which excludes $402 million of cash held at F1. Formula One Group has attributed public market securities with a market value of approximately $4.9 billion as of yesterday's close, which includes intergroup interest in the Braves Group, the intergroup interest in Liberty SiriusXM Group and, of course, our stake in Live Nation. Total Formula One Group attributed principal amount of debt was $5.1 billion, which includes $2.9 billion of debt held at F1, leaving $2.2 billion of debt at the corporate level. Formula One's total net-debt-to-covenant OIBDA ratio as defined in F1's credit facilities was 5.1 times as of year-end as compared to a maximum allowable leverage of 8.25. We have set a target total net leverage ratio for Formula One of 5 to 5.5 times bank covenant OIBDA. Please note that these leverage ratios are for the Formula One business, not the Formula One Group. At the Braves Group we had attributed cash, liquid investments and restricted cash of $212 million, and attributed principal amount of debt of $559 million. With that, I'll turn it over to Chase to talk about F1.
Chase Carey: Thank you, Brian. 2019 was a year of growth for both fans and the business of Formula One. From a fan perspective, attendance at our races again exceeded 4 million, up 1.75% even with the Saturday cancellation of the Japanese Grand Prix due to the typhoon. The average attendance per race was over 202,000. Eight Grand Prix exceeded crowds – had crowds of over 200,000 over the weekend with five tracks hosting over 100,000 spectators on race day. The scale of these events is truly unmatched in sports, and we continue to be impressed with our promoters and the world-class events they orchestrate. Fans were even more engaged at home with a total global cumulative audience of 1.922 billion, the highest since 2012, and an increase of 9% over 2018. This is the third consecutive year of growth. 19 of the 21 Grand Prix had higher cumulative audiences than 2018. Across Formula One social media platforms, we saw followers increase significantly at almost 33% and page views in our core digital platform surpassing 1 billion. We continue to expand our digital initiatives, recently launching F1 TV on Roku in North America and bringing F1 TV to the large screen format for the first time. We also encourage you to listen to our podcast, Beyond The Grid, which now has 43 episodes and reached up to 15 million listens in 2019. From a business perspective, 2019 saw us begin to reap the benefits of our foundation built in 2017 and 2018. In 2019, revenue grew over 10% and EBITDA grew over 25%, OIBDA over 20%. Formula One also attributed – continue to be a cash machine with 2019 net operating cash flow exceeding solid growth and strong cash conversion. We finished 2019 with a leverage ratio of about 5.1 times, near the low end of our recently received range. We expect this momentum to continue into 2020. The 2020 season marks the 70th anniversary of the Formula One world championships, and we recently debuted a special logo for this milestone to celebrate this achievement throughout the year. All car leverage for this year have been revealed, some in dramatic fashion, and we saw the potential of these new cars at winter testing in Barcelona. We look forward to the first race in Melbourne on March 15. As announced earlier, after ongoing discussions with authorities and our promoter in China, we decided to postpone the Chinese Grand Prix, which was scheduled to be held on April 19 due to the coronavirus. We will continue to monitor the situation, and we're working to reschedule the race later in the season. I know you have questions about how a potential cancellation of the race could impact our financials. In the event the race is not held, we would not receive the portion of revenue. But given the early notice on this postponement, we're working hard to mitigate the effects, which have the impact to adjusted OIBDA to be relatively minimal. In anticipation of your next question, in general, our broadcasting sponsorship deals are not dependent on race count. We're excited to welcome two new races to the 2020 calendar. The Vietnam Grand Prix will take place on April 5 in Hanoi. And to anticipate another question, we do plan to proceed with the race. I talked to our Vietnamese partners yesterday and have plan to stop in Hanoi on April 5 on my way – actually March 16 on my way back to London from Australia and all systems are a go. We're equally excited about our second race in the Netherlands Grand Prix at Zandvoort on May 4. As we previously – as we've announced – mentioned previously, dynamic new locations like these bring wonderful fresh energy to Formula One, and we look forward to welcoming new fans in Vietnam, while engaging the orange army in Holland. In sponsorship, we announced 188BET as the official F1 sponsor in Asia. This is part of our previously announced deal with the Interregional Sports Group that will see the bookmaker effect featured exclusively throughout Asian broadcast market through 2024. We expect to announce some exciting new additions to our sponsor lineup in the coming weeks before our season launch in Australia. The driver lineup for the 2020 season has the promise of some great racing and dramatic storylines. Lewis Hamilton will be chasing a seventh world championship, which would equal the record set by Michael Schumacher. His teammate, Valtteri Bottas, while out up in a strong 2019 showing, will provide exciting competition. The battle at Ferrari between Vettel and Leclerc would continue to provide drama as the new team has adopted a let them race policy. Who can forget the race ending collision in Brazil. Red Bull powered by Honda is hoping to challenge both the Mercedes and Ferrari, even more this season, with Max Verstappen, one of the rising stars of Formula One, leading the way. McClaren looks to build on their progress from last year with the exciting duo of Lando Norris and Carlos Sainz behind the wheel. At Renault, Esteban Ocon will make his return to the grid and will likely have something to prove. And then the only driver to be for the year we welcome Nicholas Latifi to the Williams team. We have a uniquely exciting mix of veteran world championship drivers going to head-to-head with one of the most talented groups of young drivers the sport has seen in a generation. If we look now to drama and storytelling, there is a compelling part of a Netflix series, Drive to Survive, we anxiously await Season 2, which will debut on February 28. [Indiscernible] in for Season 2 and it is not disappoint, especially with the addition of Ferrari and Mercedes. The series has been instrumental in bringing new fans and building our base in underpenetrated markets, especially in North America, and we're pleased with our relationship with Netflix. In other areas of new fan outreach, the 2019 F1 new balance, Esports Pro Series, recorded its largest audience ever of 5.8 million. This represents an uplift of 76% year-over-year and a clear demonstration of how we're reaching a new, younger and more digitally minded audience. 79% of viewers tuning in were below the age of 34. This was followed by our inaugural F1 Esports China Championship held in Shanghai. Qualification spaned across six major cities and drew over 6 million viewers for the finals. This year, we'll host three fan festivals, Johannesburg in March, London in May, New York in October. This will be in further celebration of our 70th anniversary and expose Formula One to new audiences. We're excited to have the W Series join the 2020 calendar at our Austin and Mexico City races, furthering our efforts of promoting diversity and inclusion in motorsports. Off the track, we were thrilled to share our ambitious sustainability plan to have a net zero carbon footprint by 2030. Throughout our history, Formula One has been at the forefront of technological innovation and many of our innovations have been adopted by road cars and other industries. Our current F1 Hybrid power unit is the most efficient engine in the world, delivering more power, using less fuel than any other car. This engine presents an opportunity to be net zero carbon through advanced sustainable fuels and energy recovery systems. Over 1 billion of the 1.1 billion vehicles in the world are powered by an internal combustion engines, so the impact here can be tremendous. Electrification of road transport is a partial solution that still requires generation of the energy to power the car, manufacture the battery and then dispose all of it. By 2025, we will also ensure all of our events are sustainable. This will be through the use of sustainable materials, the elimination of single-use plastics and always being reused, recycled or composted while offering our fans greater options to reach the race. At the corporate level, we will move to ultra-efficient logistics and travel and 100% renewably powered offices, facilities and factories. These plans are the result of over a year of work between the FIA, sustainability experts, teams and promoters, and we aim to set the example for sustainability in the world of sports. While the 2020 season hasn't begun, we're already working – looking for 2021 and beyond. To that end, we were thrilled with the progress in the last few weeks in Miami as we come closer to finalizing that potential tentpole event on future calendars. We're excited to partner with the Miami Dolphins to bring a world-class event to the region and our second race to the U.S. Following on the ratification of new regulations for the 2021 season, we're making progress on a new Concorde Agreement, which will include a new governance and price fund structure. These discussions are in advanced stages with the teams, will strengthen the business model and promote growth in the sport. Financially, we also expect 2020 to be another year of strong across the board growth for Formula One with each of our three primary revenue categories, raise promotion, media, and sponsorship, contributing to the growth. We also – we're also expecting growth in other important segments of our business like hospitality and are excited to see business segments like licensing and digital advertising that hardly existed a couple of years ago become exciting new growth areas. We further expect our OTT platform to continue to be a source of growth as we stabilize the platform in the second half of last year and we now begin to launch new features like our recently expanded coverage of winter testing. On the cost side, while we continue to add new initiatives to engage and excite fans, our organization is clearly a more mature one today that will enable us to limit cost increases. Growth in some areas like hospitality or freight have cost increases that are tied to revenue growth, while emerging areas like the OTT platform are still in an investment phase, but the foundation for our business and sport is largely in place. Due to the contractual nature of our business, many of the key drivers of our 2020 results are largely in place. In fact, much of our current efforts are focused on initiatives that will impact 2021 and beyond in areas like media and race promotion. We're excited about the engagement of a range of third parties in these areas as many react to the renewed energy and excitement around the sport. This activity further reinforces our conviction that Formula One is uniquely positioned for dynamic growth in the next few years. Lastly, I'd like to thank Sean Bratches for the contribution he made to Formula One over the past three years. He was instrumental in transforming the commercial side of the business, making Formula One a fan-centric sport with growing popularity and set us up for continued success. He has been a strong leader of the organization and personally a great partner. Now I'll turn the call back over to Greg.
Greg Maffei: Thanks, Chase. Let me echo Chase's comments about we will miss Sean, my friend and thanks for all your good work. Thanks also to Chase and Brian, as I said, for their comments here. All in all, a great year for Liberty Media. We set the date for our investor meeting in New York. Please hold Thursday, November 19. We do appreciate your continued interest in Liberty Media and look forward to speaking with you on next quarter’s call if not before. And with that, operator, I'd like to open the line for questions.
Operator: Thank you. [Operator Instructions] We will take our first question from Benjamin Swinburne from Morgan Stanley. Please go ahead.
Benjamin Swinburne: Thanks. Good morning. Chase, could you – I know the virus situation is quite fluid and sort of hard to pin down exactly where this is going to end up. But what are the things that factor into the decision to move forward with races or not? And what's sort of the level of confidence around some of the races in Asia that you've highlighted you guys are going to continue to – you’re planning on having sitting here today? Just trying to get a sense for sort of what the range of outcomes are as we think about at least the early part of the season. And then I was wondering, one of the things we’ve all been hoping for, I think you as well, on the new Concorde Agreement is greater team parity, long-term. And I’m wondering if you could tell us today, given where you are in the process of negotiating these new agreements. Do you think you’re going to achieve that? And if the sports is secret or parity as we move into 2021 and beyond?
Chase Carey: Just first on the coronavirus. I mean, I think, as you said upfront, which is probably the obvious state. It’s fluid. So it’s difficult to really have, first of all, where this plays out. Obviously, a country like Italy wasn’t really on the radar screen a few days ago and now it is. Yes, I think we – by and large, as a process, what we’re doing is we’re actively engaged with all the events upcoming, I guess, particularly the more current ones to get perspective from in-countries. I said I had a conversation yesterday with our Hanoi partner. And their update was – I think they said there are around 50 cases, and actually all of them have recovered. So they don’t – so the cases they had they have recovered. We are continuing to talk to others about it. We’re obviously – and we are in London through our own channels connecting with experts who have insights to this. I think mostly what we need to do is continue to – on top of the issue to try to get the right advice, to try to plan. I mean, some of it’s logistics because travel planning is merging. I mean Bahrain just added a number of cities that have travel restrictions if you’re coming from those cities. So I think part of what we can plan is to make sure we have flexibility and options in place to – either logistical issues in getting to and from races. Other than China, I guess, again, with a particular focus on the races beginning of the year, they’re all going. So certainly, we’re heading to a – we’re heading to Melbourne, heading to Bahrain, heading to Hanoi. Although, to state the obvious, we’ve got to see what evolves in the coming days. And we are working actively to see if there are ways to mitigate the China postponement. So I don’t – so I think at this point long and the short of it is we are connecting with sort of in-country experts, our own experts, trying to stay on top of logistical issues on getting to and from long distance places and feel we’ve got as good a handle on it as you can. On the Concorde Agreement, I guess, the general practice – again, I don’t want to get too far into things. I mean we, I think, prefers general practice to be comedy once things are done. I guess, what I would say though I think we feel we’re achieving the goals we set out to make us more healthier. I think a fair distribution of funds is one of the cornerstones we’ve identified as being important for a healthier sport. So I think it’s not – all the things we’re doing, that we’ll launch in 2021 and beyond, again, I think they’re a significant step. They’re not up. It’s not sort of declare victory in the home. Everything is done. But I think we are making significant steps to achieve the goals we set out for the business to make it a healthier – a better sport and a better business for everybody. And that deals with addressing cost, revenue, distribution and the others. So I think we do believe we’re on a path with – and certainly directionally achieving the goals we set out at the beginning of the process.
Benjamin Swinburne: Thank you so much.
Operator: Our next question is from David Karnovsky from JPMorgan. Please go ahead.
David Karnovsky: Hi, thank you. Just for Chase. In France, it looks like you lowered the price of the F1 TV product and introduced the monthly option as well. Just wondering if you can elaborate on the strategy there and how this may have played into your recent broadcast renewal? And then for Brian. Would it be possible to get the operating free cash flow number for Formula One in 2019? Thanks.
Chase Carey: Yes. I guess what I’d say on F1 TV is as we launched F1 TV, there are different issues in different countries based on what agreements existed in place. And clearly we need to work with our traditional television partners [indiscernible] so we had different issues in different places. I mean, the UK as an example, it’s still not available due to the agreement we have, in places like in the U.S. It’s more widely available in France. We had distributed on a basis that was consistent with agreements we’ve reached with our local partners. I think what we’ve done in France is try and move it there. If you look through it, there probably is a market – I mean there’s not a single market price because it obviously varies due to a variety of issues in country, but there’s generally a range of price that we’ve targeted for this. And I think France brings – France is probably priced above the high end of what we would have – we think would be appropriate price at this point in time for F1 TV. And I think this brings it more into what we think is settled up, where we’d like the market price for this to be. But I think the pricing is all part of how do we navigate through the distribution than existing television partnerships.
Brian Wendling: Yes. And on the free cash flow for Formula One, as you can see in the release, $482 million of adjusted OIBDA for Formula One for the year. Really good cash conversion this year with some positive working capital movements. So just over $500 million of operating free cash there.
David Karnovsky: Okay, thank you.
Operator: Our next question comes from Bryan Kraft from Deutsche Bank. Please go ahead.
Bryan Kraft: Hi, good morning. I wanted to see if you could quantify for us the impact of the Japanese Grand Prix cancellation. And which revenue lines it impacted, so we can take that into account in forecast in 2020? And then separately, I wanted to ask you. Was there – or perhaps related, was there a particular driver for the flat year-over-year trend in advertising and sponsorship in the fourth quarter relative to the much stronger full year growth? Was that Japan? Is there any read-through from that into the growth outlook for 2020 in advertising and sponsorship? Thank you.
Chase Carey: So the first question, just on Japan. What was the question on Japan because I’m not sure I followed it?
Bryan Kraft: In Japan, the typhoon impact on the Grand Prix. Was there a financial impact you could call out?
Chase Carey: There was not a – there is not a financial – there was not a financial impact on Formula One. The – there was a financial – probably a financial impact to the local promoter due to ticket sales. But there wasn’t a material financial impact to us. There was an attendance impact. So as I said, if you’re looking at attendance figures, clearly, they impacted, but we’re on track. We had actually quite a nice growth in attendance in Japan and [indiscernible] didn’t matter – that didn’t matter for us. That didn’t occur. But the financial impact was limited due to the typhoon. And the other impact you asked about?
Bryan Kraft: Yes, the other – thanks for that. And the other question was, I think in your release, you called out a decline in advertising and sponsorship revenue in the fourth quarter year-over-year?
Chase Carey: Yes. I don’t know that actually if there’s anything particularly material. I mean, we can have local sponsors and local partners, so there was nothing sort of on a large scale sort of global partner level. So I would – actually just I’m assuming, so I don’t actually know specifically, but it would be more variance within probably the local partnership level or one-off partnership levels that can occur race to race or when you get – it’s why sometime for comparison on quarters where races fall. I don’t know what race fell – could have fallen on either side of, say, a quarter. And as with promotion fees or sponsorship, if you have a large promotion deals, when you get down to quarters, they can swing just on race scheduling and things like that.
Bryan Kraft: Great. Thank you, Chase.
Operator: Our next question comes from Vijay Jayant from Evercore. Please go ahead.
Vijay Jayant: Thanks. One for Chase. Obviously you’re talking about potentially a new U.S. race in 2021. You also talk about maybe a Saudi Arabia race. Can you just help us understand how fast can you scale those races up from 22 this year? Can you add two races in the new season or is it going to be like one race at a time? Just to sort of understand future race promotions. And then probably for Greg, but as you started buying some Formula One, started buying some Liberty Sirius stock, this quarter that we saw, can you just help us understand how do you think about how much Liberty Sirius stock to buy? Also how much could you potentially buy Formula One, given now like you’re low end of your target leverage things? Thank you.
Chase Carey: Yes. I think in general – as we said, I think we feel we can increase – in a limited basis increase the number of races. I think we tried to – I think our goal would be to do it in a disciplined basis, disciplined way. Clearly, the teams – we recognize there are logistical and organizational issues for the teams to accommodate that. We – directionally, they know where we’re going, but I think we want to in fairness to them and to make it a manageable process, try and do it in a disciplined way. So I wouldn’t see us all of a sudden adding two races in one year. So I think it’s probably more stepping up to a level. And again, we only step up if we have races that we really think are bringing something – bringing in other dimension to sports sort of beneficial to both for fans and the business. But I’d expect us to be – I think our goal would be to do it in a disciplined way.
Greg Maffei: So Vijay, I think what we – at Investor Day, we talked about the fact we had $3 billion of free cash flow, monetizable assets and leverage capability over the four-year period, 2020 to 2023. And I think that gives us ample opportunity to buy back LSXM. The amount we will actually buy back is somewhat related to where that LSXMA trade and how much our potential liability is. But I can’t – if you look at the total, it’s likely to be less than one-third of that over the period. So we’ll see where that comes out. We have ample free cash flow to do that, which we need on LSXMA and anything else related to flexibility, deleveraging, share repurchase, other forms of return on capital.
Vijay Jayant: Got it. Thank you.
Operator: Our next question comes from John Tinker from Gabelli. Please go ahead.
John Tinker: All right. Back to more gentle pace of baseball, if I could. The – I understand that the teams can now sell the streaming rights the MLB have given them back. So what – do you – where do you stand on those rights, particularly vis-à-vis your TV deal? And just, secondly, thyssenkrupp’s going through some changes. Does that have any impact on the timing of opening the new Elevator building by the, I think, summer of 2021?
Greg Maffei: So John, thanks. On the first point, I don’t think the thyssenkrupp financial issues will impact the timing or construction cycle at all. We’re in very good shape on that. And this is the jewel and the thyssenkrupp crown in terms of its business. So we feel very secure about whatever happens at thyssenkrupp that we’re in good shape with them financially, et cetera. On the streaming rights, it’s complicated because the contracts are with the RSN provider. Say if they’re not utilized in a certain way, they go back to – they go to them. So I would say we do not have any current plans or current large revenue streams we’re going to explore where we go with that. And we’ll see what happens to that RSN provider and what their capabilities are over the next couple years.
John Tinker: Thanks.
Operator: We’ll take our next question from Bryan Goldberg from Bank of America Merrill Lynch. Please go ahead.
Bryan Goldberg: Thanks. I had a couple of questions on F1. First, on your comments about your direct-to-consumer growth plans in 2020. Just curious, I think you characterized this year as another year of like investment phase. And I’m just curious. When we talk about investment, are we talking more about programming around the events themselves or the acquisition of non-live programming? Or is this more a function of rising subscriber acquisition costs? And then my second question is, Chase, I think you talked about in 2020 your expectation for all three of your revenue categories to be up, in 2020. And I guess, as the calendar stands today, you should have a higher event count, which is an obvious driver of growth. But outside of that, how should we think about the same-store growth potential across race promotion, broadcasting and sponsorship? Is this a year that’s going to be dictated more by rate escalators and existing contracts? Or are there significant contractual renewal opportunities and/or greater sponsorship sell-through opportunities? Thanks.
Chase Carey: So I guess, on the OTT investment, I mean, we’re not investing significantly. I guess, probably more, I’d say, it’s early stage growth. So it’s probably a bit of all of those things, abating content, that – marginal in the context of our overall business, abating marketing, as you push it out, particularly into those still. We’re early stage in some markets. We’re obviously relaunching the price point in France. And as I said, we only really stabilize the platform in the second half of last year. So it’s not – the investment side is probably more saying almost – maybe a better phrase would have been early stage growth. But given its scale at this point, we are more focused on the growth of that subscriber base and the growth of that business than on – as it being a significant profit contributor in the short term. I think as we said all along, I think there are certain areas that the opportunity inherent in it, whether it’s the U.S. and China or OTT are clearly sort of payoffs down the road, not 12 months. So it’s not an investment in terms of large resources for us, but it is probably investing and growing an early stage business that we think to be increasingly important as we go forward over the years. I think in terms of revenue, it is – we do expect revenue from each area. There’s some places – for media it’s not a bigger year in media. It’s sort of 2021. We did have some renewals, but the renewals work slower, so it is a combination of some new deals and just some year-to-year increases. I think on the sponsorship side, again, we do expect – as I said, we are looking forward to adding some sponsors in the short term. So we think there’s opportunity to continue to – and we certainly have the room and the capacity, and we expect to be able to take some steps to getting sponsorships to where we think it ultimately should be. So again, it’s probably a bit of a mix of incremental growth and some new deals. And I think on the promoter side, the opportunity is probably – we’ve got two new races. We’ve talked about them. So clearly, there are two new races as well as what would be the incremental growth. So we have Vietnam and Amsterdam coming in, replacing Germany. That clearly is a positive for us. And then we’ve got the ordinary course that exists beyond it. So there’s a mixed bag of incremental growth and it varies by each of those big segments. The other areas like hospitality and licensing and some of the other things we talked about are probably again more ongoing growth. They’re not event driven. They are in the three big categories. It is a bit of a mix.
Bryan Goldberg: Thanks. Actually, if I could, just a quick follow-up. On your efforts in Miami, I think you got a favorable vote from the Miami-Dade County Commission, I think, last week. But now there’s – I think there’s some sort of legal challenge to that. And I was just wondering how should we think about next steps from here in Miami before that event can really be solidified on the calendar?
Chase Carey: Yes. Again, positive steps the last couple weeks. We’re actively engaged with them. I think we’ve got meetings over the next week or two to continue to nail things down. And we feel good about where we are with that race, obviously, for 2021. I think, first and foremost, we want to make sure it’s a great race, a race that will live up to what that – the potential of what that race is, which is a real tentpole race for us, not just in the U.S., but around the world, a race that will capture the world’s imagination. So we want to make sure we do the race. And we’re still focusing on trying to get things in place for 2021. Obviously, time continues. Time gets shorter. But we are actively working on it and engaged with it and I think making good headway. I think we feel that these are complicated. So nothing new. We’ve been there – through this before. So the steps and processes we go through to ultimately finalize a race always have degrees of complications to them. But I think we feel good about the path we’re on, and we feel good about the opportunity to make the race in Miami a reality in short term.
Bryan Goldberg: Thanks a lot.
Operator: We’ll take our next question from Zack Silver from B. Riley FBR, Inc. Please go ahead.
Zack Silver: Okay, great. Thanks for taking the question. The first one for Chase on F1. Just – I think you provided us an update on the sponsorship pipeline back in November. Just wondering if you could give us an update whether that has changed, gotten more healthy or perhaps dissipated with sponsorship?
Chase Carey: No. I guess, I don’t think it’s a dramatically different story. Again, I think we are excited about the level of interest, the breadth of interest, the engagement in the sport. Certainly, we are actively pursuing many conversations. I guess, as we’ve said, sponsorships is probably – over the three years we’ve been involved has been an area that has probably had a few more headwinds than we thought, I think, whether it was telling to degree to which that was in the pipeline there. So building the story, building – providing an understanding, building the capabilities to create the more tailored offerings that I think you really need to be competitive in that world today. So I think we’ve made a headway. And I think we are excited about the degree. We are certainly – I think the last three months, two months, since the season ended in this period, we’ve probably been more active than ever in the breadth and breadth number and variety of conversations we’re in. And we look forward to closing a few in the short term.
Zack Silver: Got it. Thank you. And then one for Greg, to follow-up on the Braves. Obviously, maybe not for the Braves, just given the length of time between your last deal and this renewal in 2027. But for most teams a good chunk of revenues are coming from the broadcast deals. We’ve seen healthy growth in the value of the sports rights. But given some of the headwinds that’s in the pay TV ecosystem and distributor – some distributor drops, maybe that makes these rights uneconomical for some of the traditional RSN players. So more curious just to get your sort of high-level thoughts on how you think that evolves over the next couple of years.
Greg Maffei: I think it’s a good question. If you were – the team on the West Coast that had a relatively small territory and had gotten a massive RSN contract, you think about what would happen at the end of that renewal. It’s an open question whether you’re going to see incremental value or decline. We have a good contract, not an amazing one. It was a very low one than when we bought it from Time Warner. It’s been renegotiated with the longest in existence of the time. It’s still along the longest that’s ever been written. And because of that, when it’s relatively low, even at adjusted value, against the size of our territory, which is 12 million broadband households, the largest territory of any baseball team and this popularity of the Braves, I feel pretty good. You’re right to point out those headwinds. And as you may recall, we spend a lot of time looking at the RSN to know the risks of the RSN business very well. And you can see the carnage that is Sinclair at the moment. So all balanced. But when you look at the factors that are favor the Braves, if you look at our territory, you look at our contract, I’m not worried compared to where a lot of teams are.
Zack Silver: That makes sense. Thanks, Greg.
Greg Maffei: Thank you.
Operator: The next question comes from Jason Bazinet from Citi. Please go ahead.
Jason Bazinet: I had a question for Mr. Maffei. Other than opportunistically working on the LSXMA discount with the liquidity that you alluded to, what are the other broad options that you think are at your disposal? Like if you’re going to come up with an exhaustive list of options, what would be the three or four options that you have?
Greg Maffei: I’m not really sure. I could come up with an infinite number of options on what to do, but most of them are not financially attractive because it trades at a discount. I think the right thing to do is to go out of your way to capture the discount. There are several ways we could do that. We have sufficient liquidity between FWON and needs between FWON on the hedging side and LSXM’s capabilities on inside, both with the dividend and the financial power we’ve raised to take advantage of that side. We think this is the optimal way. There are ways which we could accelerate that and perhaps raise more capital, find some holders, split the difference with, do things like that. But we believe attacking it systematically with our available resources, which are sufficient, is the right way.
Jason Bazinet: Do you see M&A is one way to sort of close it?
Greg Maffei: I’m not sure what you mean by M&A. I don’t want to use the stock because that – issuing the stock at a discount seems like a fool’s errand to me. And I’m not sure what M&A do. I want someone else to buy into it because they’re getting the benefit of that discount. I’m not really sure how that plays to our shareholders benefits, which is my goal.
Jason Bazinet: Well, I would say, use your liquidity to buy something that’s cash generative to give you more firepower to shrink the discount.
Greg Maffei: So why not just go directly and use my cash to buy the discount itself. Why pay a premium…
Jason Bazinet: Well, because the market will look through the quantum of liquidity that you have, which is very different than having an asset that generates cash flow year in and year out.
Greg Maffei: I disagree because I’d have to utilize my cash flow to do that. And I assume the combination of what capital we have and where we think we might get with SiriusXM as a more attractive option.
Jason Bazinet: Understood. Thank you.
Operator: Our next question comes from Matthew Harrigan from Benchmark. Please go ahead.
Matthew Harrigan: Thank you. You have a very hardened out balance sheet. But if you go back to 2008, 2009, there are a number of media companies that were pretty lax. It created a lot of opportunities, some dislocations. If we do get a bad economic downturn off the coronavirus and the level of debt within the global economy right now, do you think you’re going really good deal prospects across the board as you did 12 years ago? Or do you think that other people are – been more responsible talking to you as – as easy as it was 2008, 2009? I know that’s a hugely broad question. I apologize, but I wanted to ask because John always have interesting thoughts on the macro and the deal environment.
Greg Maffei: I think you look and say, to the degree we have strong franchises, which I believe we do, we will suffer less in that kind of a downturn than many other kind of businesses, which are maybe equally strong, but are not viewed as strong, don’t have other pieces in place like a management team or something. So that could create opportunity. It also means that we may have to have nerve at a time when having nerve isn’t readily apparent or you may be fearful. What’s the Buffet line about be bold when others are fearful. And that’s not always easy. So look, I’m certainly not wishing for a recession. I would note, as we have noted before, it’s hard to buy things unless you either have synergies today or a particular story, both of which are hard in a market where things are rising, put aside corona. And so that may create opportunities. But speculating beyond that, Matthew, is hard just – will we find the things in this space as we like? Will they be willing to sell? Oftentimes, which you have real problem is, is even if it’s trading at a discount, people don’t want to move. It takes a while for the sellers to want to – to come to that realization. They look at the high watermark before and it takes a while to break. So we – that could create opportunity, but it’s no assurance.
Matthew Harrigan: Thank you.
Greg Maffei: Thank you. I think, operator, that was our last question for this call. Thank you again to all who joined and all who participated. Hope to speak to you again next quarter, if not before, and thank you for your interest in Liberty Media.
Operator: This concludes today’s conference. Thank you for your participation. You may now disconnect.